Operator: Thank you for standing by. This is the conference operator. Welcome to the 2023 Third Quarter Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded [Operator Instructions].  I would now like to turn the conference over to David Medilek, President. Please go ahead.
David Medilek: Thank you, operator. And thanks everyone for attending K92 Mining's Third Quarter 2023 Results Conference Call. We hope you and your families are doing well. In addition to myself, we have on the line, John Lewins, Chief Executive Officer and Director; and Justin Blanchet, Chief Financial Officer.  I would also like to remind everyone that after the remarks from management, the call will be followed by a Q&A session. As we will be making forward-looking statements during the call, please refer to the cautionary notes and risk disclosure in our MD&A and Slide 2 of the webcast presentation. Also, please bear in mind that all dollar amounts mentioned in the conference call are in United States dollars, unless otherwise noted.  Now, I'll turn it over to John to provide you with an overview.
John Lewins: Well, thank you, David. And welcome, everyone. We begin with safety, pretty much K92's number one priority. In the third quarter, an independent safety audit was completed at the site following the incidents in the second quarter. The findings from the audit indicate that our safety procedures and systems are good with room for improvement in our front-line supervisors to make sure that the safety procedures and systems are always followed. Actions have been taken and more actions are to follow, and I'm pleased with our initial response. Job safety assessments have significantly increased, which is a positive leading safety indicator. And in the third quarter, there were no lost time injuries. Since K92's inception, we have operated at a lost time injury frequency rate well below the industry average as shown in the chart here. K92 will always strive for zero harm amongst our workforce. At K92, we're proud of our positive socioeconomic impact locally, regionally and nationally in Papua New Guinea. Some of our recent ESG highlights are shown on the slide, and they include; significant progress on our infrastructure tax credit scheme, the first project expected to be launched in early 2024; a continuous ramping up of our training and development programs, both internally and externally with various MOUs signed with PNG universities and a large number of scholarships awarded; and an expansion to our gender focused community development programs that upgrade local skills and business diversification programs to train local women. One of these programs that we're especially proud of is the adult literacy program. The video shown is one of the program's graduation ceremonies. In 2023, there has been approximately 150 graduates with 90% of them women. Literacy is a foundation skill and from this program many of our students go on to complete further education including business development. In 2022, K92 received women in mining award at the Papua New Guinea Chamber of Mines and Petroleum Investment Conference for the positive impact that this program has had. Demand to participate in the program is very high and we continue to expand it. We would encourage you all to read our sustainability report, which is available on our Web site. Moving on to operational performance. During the quarter K92 produced 26,225 ounces gold equivalent with 121,201 tonnes processed at a head grade of 7.32 grams per tonne gold equivalent, cash costs of $6.84 an ounce and all in sustaining cost of $1,300 an ounce. As previously disclosed, production was impacted during the quarter by the safety incident that occurred at the end of second quarter, which resulted in approximately nine days of downtime at the underground. Longhaul stoping performed to design and it's important to highlight that all in sustaining costs, as noted in our guidance, is elevated due to the considerable portion of our sustaining capital being back or effectively Stage 3 expansion. We expect all in sustaining costs to significantly decline upon the delivery of the Stage 3 expansion in 2020. Looking ahead, we expect the fourth quarter to be very strong and we reiterate our production guidance of 111,000 to 116,000 ounces gold equivalent at a cash cost of $620 to $680 an ounce gold at an all in sustaining cost of $1,180 to $1,300 an ounce gold. In terms of key operation quarterly physicals, K92 delivered record total material mined and near record development and total ore processed. This, I think, is especially impressive when factoring in the downtime to the underground mine at the start of the third quarter. As noted in the previous conference calls, increasing our development rates continues to remain a major focus as we catch up on development that was impacted due to the COVID-19 pandemic. I'm pleased to report that in October, we delivered a new monthly record of development advance of 903 meters for the month. Multiple initiatives are underway to increase our development rates, including moving more resources into the highly productive twin area as we open up that second mining front, multiple infrastructure upgrades that are underway to transform mine productivity, various operational excellence initiatives, which I'd say are the main driver for the strong [co-development meters] and the arrival of more equipment with another jumbo plan to arrive in early January and then a further one by April. A major positive in the third quarter has been the performance of the process plant. In September, the process plant delivered a new monthly throughput record of an average of 1,542 tonnes per day, 13% above the run rate design of 1,370 tonnes per day. Subsequently to quarter end, the process plant delivered a flurry of new records, the highest reported being 2,027 tonnes processed on October 10th. The mill has shown that if it has the tonnes in front of it from the mine, it's extremely capable and provides us with significant operational optionality going forward. Following the completion of the Stage 2A commissioning, which was a doubling of [rougher] capacity, the process plant has continued to deliver strong recoveries as shown in the bar charts here. Optimization work to further boost recoveries in addition to throughput is underway and yielding positive results to date. I'll now turn the call over to our Chief Financial Officer, Justin Blanchet, to discuss our financial results for the second quarter.
Justin Blanchet: Thank you, John, and hello, everyone. During Q3 2023, we had revenue of $32.8 million, a 10% decrease from prior year. We sold 18,339 gold ounces at an average selling price of 1,848 compared to 25,297 ounces at an average selling price of 1,663 in the prior year. As at September 30, 2023, there were 6,066 gold ounces in inventory, including both concentrate and doré, an increase of 3,668 gold ounces when compared June 30th due to timing of sales. Q3 2023 cash flow from operating activities before changes in working capital was $10.9 million compared to $12.8 million in the same period prior year. As of September 30, 2023, we had $79.9 million in cash and cash equivalents. The company has no debt on the balance sheet. The decrease in cash and cash equivalents when compared to June 30th is primarily a result of the increase in gold ounce inventory that was sold subsequent to quarter end, spending $12.9 million on expansion capital and spending $5.2 million on exploration activities. During the quarter, K92 announced a $100 million senior secured loan agreement with Trafigura. The loan term is four years from the date of the first advance. The loan has no hedging conditions and a competitive interest rate. In addition to K92's existing cash balance, this loan agreement solidifies K92's strong financial position going into the Stage 3 and Stage 4 expansions. Additionally, K92 amended its offtake agreement with Trafigura originally dated July 1, 2019 for the purchase of K92's copper gold concentrates. The term will be extended for an additional seven years or until a minimum of 600,000 dry metric tonnes of concentrate has been delivered. Importantly, metal payabilities have been amended and improved as well as penalties, treatment and refining charges and transport charges, all of which are better than the assumptions outlined in the K92 IDP cases. In Q3, cost of sales was $22.5 million compared to $20.8 million in the prior year or $14.3 million compared to $15.2 million when excluding noncash items. Despite the overall increase in cost of sales, the company achieved better economies of scale and lower unit costs when measured for each tonne of ore produced, attributable to the successful ramp up of the Stage 2A expansion with total material mined increasing 38% to 305,556 tonnes from 223,472 tonnes in the prior year. As John mentioned, during the third quarter, the Kainantu Gold operations produced 22,227 ounces of gold, 1,784,009 pounds of copper and 40,233 ounces of silver or 26,225 ounces of gold equivalent. We incurred a cash cost of $6.84 and an all-in sustaining cost of $1,300 per ounce of gold, which was significantly below our realized gold payable selling price of $1,848 per ounce. Our Q3 cash cost per ounce of gold increased to $684 from $503 in Q3 2022 and our all-in sustaining cost per ounce of gold increased to $1,300 from $909 in the prior year. The increase in cash cost and all in-sustaining cost was primarily due to the decrease in production, increased cost of sales and higher sustaining capital expenditures as compared to the prior year. I will now turn the call back to John to continue with the rest of the presentation.
John Lewins: Thank you, Justin. For the exploration growth section, we'll begin with an update on the Stage 3 and Stage 4 expansions, which continue to make significant progress in multiple areas and that plan to transform K92 into a Tier 1 mid-tier producer. On July 24th, the Board of Directors authorized the award of the engineering procurement, construction and commissioning lump sum contract for the Stage 3 expansion process plant to GR Engineering. The contract award amount is $81 million and its lump sum fixed price arrangement. We also announced that all process plant long lead item contracts have already been awarded. For Stage 3 expansion of the process plant, approximately 95% of the capital cost has been fixed. This represents over half of the total growth capital for the Stage 3 expansion based on the integrated development plan and so it significantly derisks potential growth capital cost increases for this expansion. And as we previously announced, the commissioning of the process plant is targeting the end of the first quarter 2025. The forecast cost is within 10% of the Kainantu integrated development plan for the DFS and the PEA. And as noted earlier, growth capital cost increases have been significantly derisked. We are extremely pleased with this outcome. On the process plant, preconstruction works are well underway. As you can see in the photo, the contractor stage area construction is almost complete. The contractor is scheduled to mobilize in January, and as noted, the time line for commissioning the plant remains end of Q1 2025. On the paste dill plant, the front-end engineering design is well advanced with plans to order the long lead items in January. The paste fill plant is intended to come online second quarter 2025 after the Stage 3 process plant has come online. Other surface packages for the expansion are also progressing well, including the interim power station with civil construction components over 90% complete. Tailings dam lift 1C is over 78% complete now and the camp expansion is also well underway. The expansion will increase the numbers to meet the requirements of Stage 4 plus the temporary higher capacity required during the Stage 3 expansion for all of the contractors. Beyond the Stage 3 and 4 expansion, surface works, multiple near term major infrastructure upgrades are being put in place. The twin incline has now advanced over 2,700 meters as at the end of October and is over 93% complete. As shown in the two side-by-side photographs here, the twin incline shown on the right is a major improvement and very much a game changer in terms of capability to move material out of the mine. We're looking at trucks that are going to be over 40% to 50% larger than the existing trucks and traveling about 4 times the speed that they're currently operating. The twin incline is also capable of moving material well beyond the requirements of Stage 4, which of course would include the installation of a conveyor.  As part of the expansion, we're also putting in place a series of ore and waste passes, which will efficiently leverage gravity to connect the main mine to the highly productive twin inclines that we've just spoken about. [Raised bore works] are planned to commence in the first quarter of 2024 with the project targeting completion in late 2024. Mine ventilation system is also having a series of major upgrades. The first upgrade is scheduled to be completed by the end of this year and that's the installation of larger fans to increase air flows by approximately 30% in the main mine. The second upgrade is temporarily utilizing the first ore pass for primary ventilation in Q2 2024 to boost airflow to the main mine. This vent raise will be utilized until the third and final vent upgrade the Puma vent drive is completed around mid 2024. Upon completion of that Puma vent drive, a very large set of twin fans will be installed to meet the Stage 3 life of mine ventilation requirements. And I'm pleased to report that these large twin fans have been ordered with a massive combined designed airflow of about 600 cubic meters per second, which can actually be further upgraded to around 740 cubic meters per second. The various infrastructure upgrades combined with the tripling of mining fronts in 2024, as shown on this slide, are set to fundamentally transform the mine and business over the 18 months moving K92 to very much that to mid tier Tier 1 producer. In terms of exploration, we're actively drilling Kora, Kora South, Judd and Judd South vein systems plus the A1 porphyry. In the second half of September, we encountered some extremely promising development phases on Judds from a development of the twin incline as shown in the picture here. Phase sampling highlights included 4.6 metres at 14.9 grams per tonne gold equivalent and 6.8 metres at 11.8 grams per tonne gold equivalent. The results here are particularly exciting as the high grade phases were recorded in an area that was underdrilled and previously interpreted as low grade as shown in this long section here. Exploration activity has recently ramped up in this area at Kora Deeps and Judd Deeps as that twin incline has developed along there. In terms of drilling the J1, our latest results continue to expand the known deposit extents, delivering multiple plus 1 ounce per tonne intersection , including 8.8 metres at 38.1 grams per ton gold equivalent, 7.5 at 38.3 grams per tonne gold equivalent and 7.7 metres at 36.3. At Kora's K2 vein, similar to Judd, multiple high grade intersections were recorded, including 28 metres at 15.5 grams per tonne gold equivalent and 10.6 metres at 15.7 grams per tonne gold equivalent. Drilling to the South also continues to show very strong thickness and high copper grades towards the A1 porphyry as shown in this K2 copper grayed long section. The high grade copper zone remains open to the South and open at depth. And I think perhaps important to highlight that the magenta corresponds to grades in excess of 4% copper. At Kora K1 vein we also continued to intersect high grades intersections, including 4.4 metres at 21.4 grams per tonne gold equivalent and 3 metres at 16.87 grams per tonne gold equivalent. Looking at the broader Kora, Kora South long section, we see drilling from underground entering a really exciting phase with both Kora Deeps and Kora South drilling now underway at depth as highlighted in the two blue ellipses that you can see here. In addition to drilling Kora South from surface, these are all very much high potential targets. At Judd South, we're also seeing pretty much more of the same as Kora, Kora South multiple high grade potential targets. I think it's also important to highlight the significant amount of drilling in high grade intersections recording at Judd outside of that maiden resource, which will be upgraded this quarter. Lastly, on porphyry exploration, we continue to progress at the A1 porphyry recording multiple porphyry vectors from drilling and we look forward to providing an update to the market in due course. With that, operator, we'd like to commence the Q&A session.
Operator: [Operator Instructions] The first question comes from Ovais Habib with Scotiabank.
Ovais Habib: Just a couple of questions for me. Number one, John, great to see the twin incline continues to get ahead of schedule and results expect to -- you expected to mine the first or at Kora in Q4. Now I believe the completion of the twin incline is expected to improve your flexibility kind of giving you that second mining front. How should we be looking at '24, John, especially in terms of bringing on additional mining fronts that should help you increase mining rates towards the target of 1.2 million tonnes per annum?
John Lewins: So in terms of 2024, we still have to put our -- get our budget formally approved by the board so that we can then put our guidance and what have you. But in 2024, in addition to the existing mining front, which is the one that we've been operating since the start, which is centered on the 1,200 level, we will be mining from twin, which is coming in around the 9, 10 level, so it's about 300 metres below the existing center of the mining area. So that will be our second mining front. And right now, we've got two diamond drill rigs in that area. So they're actually drilling out to bring up the resource, which is around there, which is primarily in inferred or in fact if we go much below it, isn't there at all as yet. So we’ve got two rigs in there right now to bring that resource up so that we've got more areas to mine there. But right now, that is a second area that will be mined during 2024. And then with our ramp down from the 1,200 level, we'll be establishing a third mining front so that we can go bottom up during 2024. So by the end of 2024, we'll actually be operating in three mining fronts, which is the current area around 9, 10 and then coming up from a third area around the 1,100 level.
Ovais Habib: So John, just a follow-up on that in terms of the equipment. Obviously, you're getting new equipment and I guess, you're also looking to get more additional equipment by the end of the year. In terms of employees, I mean, do you need to add additional miners in place for this expansion and kind of what's the kind of the progress that you need to have going into 2024?
John Lewins: So currently, we have around 1,700 people, I think, that's full time and then we have about 300 casuals. A lot of those casuals are associated with the exploration but there's also some there from long term contractors. By sort of end of first quarter '25 -- well, I'd say end of '24, really, that would be up to around a bit under 2,000 full time employees. So we've got to add another couple of hundred employees to the numbers that we currently have. We have got accommodation right now in the camp for -- in fact, the camp right now is -- capacity is effectively at Stage 4, it's already sitting at that. And I think this year we're adding about another 100 rooms or thereabouts, which actually means that the permanent camp will provide the accommodation for all of the construction -- peak construction, I think, is around the third quarter next year. So we've got accommodation for construction, we've got accommodation all the way up to Stage 4. And we've got a couple hundred people that we need to employ over the next 12 months. And to put that in context, we've sort of employed that sort of -- we've increased our numbers by that sort of number over the last 12 months. So yes, those are the sort of numbers and they are primarily PNG nationals. We have some increase to do in our expats as well but the expat numbers are not -- they're not the same percentage as we need to increase in terms of our nationals.
Operator: The next question comes from Arun Lamba with TD Securities.
Arun Lamba: Just given it's pretty close to year end, just wondering what you're thinking in terms of this growth CapEx guidance. Should we expect it in the next month or so, or at this point, is the thinking to maybe just wait for January when you pointed out when you usually release kind of 2024 guidance?
John Lewins: So in terms of growth capital guidance, I think we'll probably put it out with our general guidance. We've been putting all the numbers together. We've actually already put out -- already discussed with the Board all of our physicals and we're just putting the final numbers around that in terms of costs and what have you, OpEx and CapEx. And so we'll probably put it at -- when we give our guidance. And I think, at that point in time, we will have either awarded or be close to awarding the contract for the paste fill, which is really the only major contract that's outstanding. So it will allow us to be pretty tight on that paste fill. But right now, the paste fill looks fairly solid to come in around the numbers that we've got in the feasibility study. So we certainly don't expect to see any significant growth in the capital numbers based on the fact that, as we've said, we've already obviously awarded the [grace] contract, which is 50% of your total CapEx as a lump sum of fixed price. And we're fairly tight on the other numbers as well.
Arun Lamba: And just you mentioned record development in October. I believe earlier in the year, the hope was to catch up on the kind of delays that happened, because of COVID by year end but we had the unfortunate accident in late June, which caused some downtime. Do you expect to be kind of caught up by year end or would it might potentially take a couple more months based on what you're doing on development?
John Lewins: Well, the intent was never to catch up by year end, the intent was with the catch up over 2023, 2024. The numbers that we've put together in relation to our physicals show that during 2024 our development continues to increase, so that we go up to a thousand and by the end of the year about 1,200 metres a quarter. And that we'll be starting to develop a stockpile and in fact we'll have a significant stockpile developed by the end of '24, which will then be -- therefore our commissioning and ramp up of the process plant starting at the end of first quarter '25.
Arun Lamba: And just lastly, more just logistics. In terms of timing, was it planning to do an updated resource before year end or would that come in Q1? And same with kind of the closing of the 100 million facility, I know you don't need the $25 million that can be released on there, but just in terms of timing on the resource and the closing of the facility?
John Lewins: So the resource will be out before year end. And in terms of first draw down on the facility, that'll probably be before year end.
Operator: The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: Most of my questions have been answered, but maybe we could dig a little bit deeper into the mining rates about to commence in the twin incline, congratulations on that. So looking at the mining rates in December, like this new mining front, what would you expect the mining rates to be there? And would this ore be potentially available to be milled, in which case it could mitigate the potential for any interruption like we saw earlier this year in entering sort of a lower grade zone?
John Lewins: So, yes, first off, we've already milled first material from the 900 level, so it's already been going through the process plant. And as we indicated in the presentation, the process plant is actually performing well above the design of 500,000 tonnes per annum. I think it would be fair to say that from a metallurgical perspective, the guys believe that the plant can consistently do more like 600,000 tonnes per annum at design recoveries. Interestingly, our power draws have been well below that which is calculated. And that obviously has potential implications in terms of the capacity of the new plant as well, because we look at the existing plant, we've got installed capacity of something like around 1,100 megawatts in the crushing and mill circuit. And in the new plant that's closer to 4 megawatts. So we've got 3.5 times plus the installed power of the existing plant, which is pretty exciting from our perspective. So in many ways, we're still in a bit of a ramp up mode, although, we've actually commissioned Stage 2A and it's obviously running at its design capacity, it's still more potential there. And I guess, we're trying to figure out what that means in terms of the new plant that we're building. And so it's going to be about the mining side of things as you've rightly focused on. So the 9, 10 level, the twin level we're already mining from and that is already going through the plant. The updated resource interesting point there, of course, is that, you expect to see that Judd will increase by multiples from the existing 300,000 ounces. And of course what that means is that you've got more material, which is parallel to the existing Kora and the existing development. So you've got greater flexibility coming into your mine design from the expansion of the Judd resource. And as we put out in that release, the first material we've actually been pulling out from the twin incline area, the 9, 10 level is in fact, Judd. So that's pretty exciting from our perspective, from the resource perspective, as well as from mining flexibility perspective.
Don DeMarco: And while we're talking about the resource and any update and so on. Could you provide us with anticipated updates for the exploration that you have ongoing at the A1 porphyry? I guess, the next update would be a drilling update and then maybe later on further drilling or potentially resource update? Is that how you see it?
John Lewins: So in the context of A1, we're continuing to drill there. We only got the one rig on it. We've only we've only ever had one rig on it. And the plan is to basically complete the initial program and then put out the results from that program. I think we've got a couple of holes left to go on that now. So it's getting close to finishing the initial program and there'll obviously be a further program after that. So post completion of that with the results then we'd be putting out a report on that one. In the context of the resource, as I said, the resource will be out this quarter. We've obviously, we've seen that the initial numbers coming out on that, we're just refining and finalizing that. We'll have another release out this quarter on drilling, which has really been done post the resource, because post the resource close off. So that will be Northern Deeps, Kora Judd Deeps and Kora Judd South and Kora and Judd within the mining lease from underground and from surface. And as I think we've said in the past, we're looking to start our first drilling at Arakompa, which is an existing historical resource a couple of kilometers away from the operation, which has a historical resource of, so I think, 800,000 ounces, about 9 grams per tonne from surface down at 300 meters. So we're looking to start drilling there before the end of this quarter. So potentially first results out from that in the first quarter next year.
Don DeMarco: So we look forward to a number of exploration catalysts pending and resource as well. And final question, going back to the Trafigura alone, encouraged by your response to a recent -- previous caller that the terms are expected to be finalized before year end, but I see also that you're planning on drawing down $25 million in Q4. Now is that -- of course, like looking at your cash balance, which appears adequate at this point, the $25 million doesn't appear to be needed. Is that just sort of a prerequisite of the loan conditions to make that initial draw down, even though it's not new to this [Multiple Speakers]…
John Lewins: It's not a prerequisite of the loan, there's no requirement to draw down the first $25 million. We obviously want to maintain a healthy cash balance, so it's more about just maintaining that healthy cash balance. And although the cash balance did go down this quarter, the majority of that that went down was simply that we either -- that we ended the quarter as was flagged by Justin with something like 4,000 ounces more than we started the quarter [indiscernible] sold. So a significant portion of that was that plus the buildup in our stocks, which obviously is in part because we're expanding the whole operation and we're increasing the amount of equipment that we have. So no, there's no specific requirement. And we're not used to having debt so it's a new experience to have some debt as well sitting there.
Don DeMarco: That's all for me. So good luck with the rest of the quarter. It's just a strong quarter that you're working through right now. Thank you.
John Lewins: Thanks, Don. And yes,we're pretty happy with where we're at this point in time in the fourth quarter.
Operator: [Operator Instructions] The next question comes from Andrew Mikitchook with BMO Capital Markets.
Andrew Mikitchook: I was wondering if you could just kind of try and give us some guidance. Obviously, you’ve talked extensively in this press release and in the Q3 production press release about the strong throughputs in Q4. Are you seeing also a pickup in grade or frankly, what should we expect in grade to kind of go with these very strong throughputs in the coming quarter? And are there any constraints here that we should just be aware of in terms of scheduled downtime either underground or in the mill that we should just kind of temper our expectations with?
John Lewins: In terms of grades, I think our plan for the year was around 8 grams gold and then a bit under 1% copper. In fact, I think about 0.6%, 0.7% copper. I think in terms of gold grade, we're certainly sitting there or above there actually in terms of the quarter. Copper right now is running quite a bit higher actually. We expect the copper to probably be higher than we originally planned in the budget and gold to be about where we planned it for budget. In terms of constraints, there's a reline on the mill, which has actually already been completed this quarter. So we've actually already done the reline of the mill this quarter. We don't expect that to impact in terms of throughput. And as we've said, we expect this to be the strongest quarter of the year and certainly we're close to halfway through it now. In fact -- so 15th so I guess, we are halfway through the quarter. And we are certainly on budget, so we're on budget and on track for this to be our best quarter.
Andrew Mikitchook: Okay, so we will keep an eye out for that.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to John Lewins for any closing remarks. Please go ahead.
John Lewins: Well, thanks operator. Look, Q3 in many ways has been quite a challenging quarter for us coming off the issues that we had in the second quarter. Operationally, I think we've rebounded very well in that second quarter with the whole considerations. As we flagged, highest mined tonnes that we've done and it really set us up for a strong Q4. And certainly halfway through it we're happy with where we're sitting in in Q4. We're starting to get into that situation where we've got more flexibility underground with that second mining front now opening up around the twin incline. And as we flagged next year, getting a third mining front opening up, so that certainly is giving us a lot more flexibility. The other one is that with the new Judd resource coming out as well as obviously Kora, we are going to see a significant increase in Judd, which further increases our flexibility because, obviously, right now, we have a very limited footprint of Judd. And so in our mine planning that's been limited in terms of when we like to be able to mine from given areas, that's obviously going to be increasing because we've now got more Judd and more Judd sitting parallel to areas that we've already opened up in Kora. So all of that, I think, bodes well for our mining. At the same time, the plant itself is really, really exciting what we're seeing there. It just goes to show you should never -- you should always treat metallurgists as conservative people, because we're certainly seeing that the plant can do significantly more throughput than the metallurgists with the model said it could do. And that's exciting not only for the existing plant what we can get through, but also for the new plant and how that's been designed. And certainly, 1.2 million tonnes per annum is looking extremely conservative in terms of what we can get out of that. So quite a bit of excitement on that front. And then going into 2024, updated resource continuing with all the rigs that we've got operating, finishing that initial program in A1, starting an exciting new phase of exploration in a new high grade vein system really looks like an exciting time for us in 2024 from the exploration front as well. So fair to say we have had a challenging 2023 but we're really looking forward to quite a game changing sort of 2024 in the context of obviously progressing with Stage 3, what we can get out of Stage 2A and setting us up really going forward. So thanks for being part of the journey and thanks for being part of this call. Thanks very much. Thanks, operator.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.